Operator: Ladies and gentlemen, thank you for standing by, and welcome to Innoviz's Second Quarter 2025 Earnings Call. Our presentation today will be followed by a Q&A session. [Operator Instructions] I must advise you that this call is being recorded today. I'd now like to hand over the call to our first speaker today, Ada Menaker, Head of Investor Relations. Please go ahead.
Ada Menaker: Good morning. I would like to welcome you to the Innoviz Technologies Second Quarter 2025 Earnings Conference Call. Joining us today are Omer Keilaf, Chief Executive Officer; and Eldar Cegla, Chief Financial Officer. I would like to remind everyone that this call is being recorded and will be available on the Investor Relations section of our website at ir.innoviz.tech. Before we begin, I would like to remind you that our discussion today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Innoviz. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today, and we undertake no obligation to publicly update or revise them. For a discussion of some important risk factors that could cause actual results to differ materially from any forward-looking statements. Please see the Risk Factors section of our Form 20-F filed with the SEC on March 12, 2025. Omer, please go ahead.
Omer David Keilaf: Thank you, Ada, and good morning to everyone joining us on today's call. At the beginning of the year, we set a series of ambitious financial and business targets for 2025. And today, I'm happy to tell you that we are on track to meeting them. On the financial side, our revenue for the quarter was $9.7 million, bringing the first half of the year to $27.1 million. This was more than our revenue for all of 2024 we are confident that we will meet our target of $50 million to $60 million for the full year. Cash burn in the quarter was $7.3 million, consistent with our guidance for a single-digit cash burn, and with our intention to dramatically reduce cash burn this year as we continue to strengthen our financial position. Moving on to the business side. We recently announced a statement of development agreement with a top 5 passenger automotive OEM as we work towards a potential nomination. The agreement is for the developing modifications to our InnovizTwo LiDAR for the OEM's Level 3 global production passenger vehicle program slated for SOP in 2027. This OEM is a new geography for us, and we think this could unlock further opportunities for us in the region. We continue to make progress with our existing L3 and L4 programs, as we look forward to customer SOPs, we are tremendously pleased with our partnership with Mobileye, Volkswagen and others on their accelerating robotaxi plans. As these programs start to deploy, we believe that LiDAR technology is increasingly becoming recognized as a necessity for automotive safety and autonomous driving. In the second quarter, we launched InnovizSMART, which brings our auto-grade LiDAR to industrial and other nonautomotive applications. Just a few weeks after the launch, we announced collaborations with companies such as Cogniteam, Sparsh CCTV and Cron AI for security and safety projects. We are working with many others as we demonstrate and test the solution. Additionally, we established InnovizSMART compatibility with NVIDIA Jetson AGX Orin platform. In all, InnovizSMART is off to an amazing start. On the production side, to support growing demand from customers across L3, L4 and nonautomotive applications with the gun shipping units from Fabrinet's high-volume production line. It is a significant achievement for us that demonstrates that we are well positioned to ramp InnovizTwo and scale our operations to meet growing demand in cross customer SOPs in '26 and '27. Last quarter, we told you that we are at the start of the next chapter of the Innoviz story. Becoming the world's premier large-scale supplier of best-in-class LiDAR solutions for autonomous driving and beyond. In the second quarter, we demonstrated that our journey is underway, and we are delivering on our mission as we ramp production and continue to win new customers. With that, let's jump into the details. Let me begin by telling you more about our Q2 and first half financial results. In the quarter, we reported revenues of $9.7 million as we generated more revenues in just the first half of 2025 than in all of 2024. The revenues were driven by a combination of LiDAR unit sales and NREs. We are shipping units to our existing and potential customers. And as of July, we're shipping from Fabrinet as well as from our headquarters. These units are going to various Mobileye Drive customers to the new top 5 OEM we announced and to VW to support the ramp of the autonomous VW ID. Buzz shuttle that's been in the news. We ended the quarter with $79.4 million in cash and cash equivalents. We started the year with $80 million in NRE payment plans. We grew the plan to approximately $95 million in Q1. And in Q2, we further expanded the payment plans beyond the $95 million with the addition of the new top 5 OEM that we mentioned earlier. At the beginning of the year, we guided for $20 million to $50 million in NRE bookings. So far this year, we've already booked more than $20 million in NREs. And given our outlook, we are increasing our NRE booking guidance for 2025 to $30 million to $60 million. As we recognize revenues for these NREs, we are continuing to execute on our commitments, meet customer milestones and pursue opportunities with new customers. Cash burn in the quarter was $7.3 million, in line with our guidance for a single-digit burn in the second quarter versus $20.7 million in the first quarter supported by our balance sheet and NRE payments plan, we are well positioned to deliver on the products ramps that we expect over the next 2 years. Turning now to our recent business accomplishments. In June, we signed an SOW agreement with a top 5 passenger automotive OEM for a development project for Level 3 global production passenger vehicle program. This is a new program for us from a customer with whom we've been in discussion for quite some time. Beginning in Q2, we have been developing hardware and software modifications for the InnovizTwo to ensure seamless integration into the OEM's vehicle system. And we've already begun shipping units to the customer. We expect to ship hundreds of units in the coming months. This will facilitate a smooth ramp towards the planned data collection campaign as our companies work towards a series production agreement. The start of production is slated for 2027. This SOW is a great milestone for Innoviz, not just because of the size of the customer, the volumes, the program can generate and the time line. But because we believe other companies in this geography may follow suit. We've also started discussion with the customer to expand the collaboration to short-range LiDAR, which could be used in different programs at the OEM. This potential extension of our engagement demonstrates the benefit of having multiple solutions on one platform. As we've seen in previous programs with other customers, and SOW allows us to conduct development work on a program, which will allow us to meet SOP time lines while the commercial discussions for series production are progressing. With 2 out of 5 top global OEMs now working with Innoviz, our position in the LiDAR space is stronger than ever. Over the past few months, we've seen tremendous acceleration of plans to deploy Level 4 robotaxis around the world. This truly feels like an inflection point for autonomous driving. To enable this trend, we are deeply engaged with our Level 4 partners, VW and Mobileye and their customers, MOIA, HOLON, Verne and others. We are very pleased with the ramp in our collaboration with Volkswagen support of MOIA and Uber's planned rollout of the ID. Buzz in multiple European and U.S. cities starting in 2026. Ahead of the fleet launch, hundreds of ID. Buzz shutters will be equipped with a suite of Innoviz LiDARs in 2025. Recall that the ID.Buzz which is based on the Mobileye Drive platform has 9 InnovizTwo LiDARs per vehicle, 3 long range and 6 short to mid- range. We are also encouraged by the recent announcement from Lyft on the upcoming deployment of Mobileye based autonomous vehicles by HOLON and BENTELER brand on the Lyft platform. Critically, with this interest and acceleration in deployment plans, there seems to be a growing understanding that LiDAR is a must have for true, safe autonomous driving. Innoviz offers a mature, scalable cost-effective LiDAR solution and our relationships with industry leaders support this vision. The team and I will be demonstrating our automotive products at the IAA MOBILITY Conference in Munich in September. In addition to our automotive advances, we recently launched the InnovizSMART, our automotive grade LiDAR now available for applications such as security, mobility, aerial, robotics and traffic management. Development to meet customer demand InnovizSMART is a rugged, reliable sensor. It features low power consumption, a wide field of view and a uniform high-resolution 3D point cloud that enables accurate object detection at distances of now up to 450 meters, even in harsh outdoor conditions like dust, sunlight and rain. Shortly after unveiling the InnovizSMART, we announced that we are partnering with Cogniteam to create a turnkey solution for a wide range of safety and security applications. We also announced that we are working with Sparsh CCTV and Cron AI to offer an integrated LiDAR camera vision perception platform. The platform is purpose-built for large-scale deployment across transport, perimeters, security, railways and critical infrastructure. Additionally, InnovizSMART is now part of the NVIDIA Jetson Orin AGX reference design. This will allow more developers to benefit from NVIDIA advanced AI processing capabilities in applications such as smart cities and traffic management, security, robotics and more. There are many RFQs for nonautomotive programs where the prospective customers see the advantages of using a LiDAR. These projects have significantly shorter design cycle with much higher ASPs compared to automotive. In some potential projects, we've been able to demonstrate that a single Innoviz LiDAR can fulfill the application requirements as opposed to a multiple from another LiDAR company. We are engaging with over a dozen companies that are exploring our solution for a variety of projects. We believe our LiDAR is very well suited to win in the market, offering better value and better technology to customers. We will be demonstrating the InnovizSMART at the ITS, Intelligent Transport Systems World Congress in Atlanta later this month. The growing interest in InnovizSMART validates the path we took to the nonautomotive space. By first focusing on developing and bringing up to production an automotive-grade device for a higher volume application, we can now offer nonautomotive customers an easy-to-integrate reliable solution. In the next few years, we believe that InnovizSMART could drive significant incremental revenue for Innoviz with limited incremental spending. We are making great progress in this space and are very optimistic about our opportunities for growth in this segment, given the strength of our solution. Let me now update you on our production capabilities. At the beginning of the year, we said that we would ship an order of magnitude more units in '25 than in 2024. We are seeing growing demand for LiDAR units from existing customers and from companies whom we are engaging on new programs. To meet their needs, we are on track to ship 10x more units in the third quarter versus the second quarter and last month. We announced that we are starting to ship units from Fabrinet's high-volume production line. This marks a major milestone in our journey to mass producing our InnovizTwo LiDAR platform. The ramp-up at Fabrinet facility follows months of collaboration and extensive training, ensuring that all production procedures meet Innoviz's rigorous quality standards. With these initial shipments, Innoviz moves closer to meeting the growing demand for scalable autonomous vehicle solutions for automotive OEMs and mobility companies worldwide. Now let's move on to our outlook, driven by the NRE payments that we expect in 2025, combined with sales of LiDAR units, we continue to expect more than a twofold increase in our revenues year-over-year for 2025 at $50 million to $60 million. As you saw in the first half, our cash burn has continued to decline thanks to our tightly managed expenses as well as the actions we took in the first quarter. On the operational front, in 2025, we continue to target 1 to 3 new programs. We expect 1 to 2 in addition to the SOW that we already signed. Given that we've already booked more than $20 million in NREs this year, we are raising our guidance for NRE bookings in '25 to $30 million to $60 million from $20 million to $50 million. All in all, our year is progressing very nicely. And with that, I'll turn it over to Eldar to talk about our financials.
Eldar Cegla: Thank you, Omer, and good morning, everybody. In the first half of 2025, our company continued to make strong financial and operational progress. Revenues in the quarter were $9.7 million bringing the first half to $27.1 million. As Omer said, we generated more revenues in the first half of the year than in all of 2024. We ended Q2 with approximately $79.4 million in cash, cash equivalents, short-term deposits and marketable securities on the balance sheet. We decreased cash used in operations and capital expenditure in the second quarter to just $7.3 million, in line with our guidance for a single-digit cash burn. This was due to strong cash inflows from NRE payments and the realization of the benefits of our operational realignment earlier in the year. Gross margins in the quarter was approximately 16% and 31% for the first half of the year. Going forward, we expect margins will continue to vary. This is due to the product ramp timing and the NRE payment fluctuation based on our customers' milestone. Looking into the remainder of 2025 and beyond, we remain confident in our ability to manage our expense effectively and keep our cash burn rate down on an annualized basis. Our NRE payment plans are a key part of our financial model and, hence, demonstrated over the last several quarters, they helped us offset our spending significantly. With every development milestone that we meet on customers program, we unlock a portion of the NRE payments associated with that program. As we work to expand our NRE payment plan and get closer to our 2026 production ramp, we are launching an at-the-market or ATM program in the amount of $75 million. We intend to use the net proceeds from the ATM for general business purposes, including activities such as R&D operations and supporting our production efforts. We may also use proceeds to buffer the lumpiness of the NRE payment plan and to be able to maintain sufficient level of liquidity on our balance sheet. As a Tier 1 automotive supplier, it is important that we are able to demonstrate financial strength to our customers. Having the ATM program signals to our customers that the strength and stability of our company and the continued capacity to serve our customers. Now turning to the income statement. Our Q2 revenues of $9.7 million was up 46% year-over-year, supported by NREs as well as sales of LiDAR units. Our operating expenses for Q2 were approximately $18.5 million, a decrease of 20% from $23.3 million in Q2 2024. This quarter's operating expenses included $2.3 million of share-based compensation compared to $3.8 million in Q2 2024. Research and development expenses for Q2 were $13.2 million, a decrease from $16.8 million in Q2 2024. The decrease is primarily related to the allocation of costs related to sales of NRE and to the operational realignment in Q1. The quarter's R&D expenses included $1.4 million of share-based compensation compared to $2.6 million in Q2 2024. To conclude, Q2 represented a robust quarter for both revenue, margin and cash flow perspective. Looking into Q3 and the rest of the year, we are focusing on future ramping the InnovizTwo, developing the next-generation InnovizThree and securing additional design wins in the automotive and nonautomotive segment as we continue to focus on tightly managing cash burn and maintaining a strong balance sheet. With that, I'll turn the call back to Omer for a few closing remarks.
Omer David Keilaf: Thank you, Eldar. Before I wrap up the call and open for Q&A, I wanted to recap some of our recent developments. We reported record first half revenues with improved cash burn. We announced an SOW agreement with a top 5 global automotive OEM to develop certain modifications to our InnovizTwo LiDAR for the OEMs Level 3 global production, passenger vehicle platform targeting 2027 SOP, with line of sight on expansion opportunity at the OEMs other programs with our short-range product. We are proud of the fact that we are working with 2 out of 5 auto OEMs that together have close to 1/5 of global auto market share while continuing to pursue other top automakers. The adoption of robotaxis, many of which will be powered by Innoviz Technologies is accelerating around the world. The deployment of LiDAR-powered shuttle fleets highlights the fact that LiDAR technology is critical to autonomous driving, and this is increasingly recognized by the industry. For nonautomotive applications, we launched InnovizSMART and we are already establishing partnerships with companies like NVIDIA, Cogniteam, Sparsh and Cron AI. We're seeing a number of parallel RFIs and RFQs for the InnovizSMART. The ASPs are higher, the design phases in this segment are shorter than automotive, making it very attractive market. Our pipeline of RFIs and RFQs both in auto and nonauto is a testament to both the maturity of our technology and its critical role in the future of driving safety, security and other end markets. With the company well on track to meeting the goals we set out for ourselves at the start of the year, we are laser-focused on becoming the world's premier large-scale provider of best-in-class LiDAR solutions for autonomous driving and beyond. With that, operator, let's open it up for Q&A.
Operator: [Operator Instructions] Our first question is from Mark Delaney with Goldman Sachs.
Mark Trevor Delaney: First question is in regard to the development program with the top 5 auto OEM. What do you think it would take for that development program to become a series production win? And when do you expect to know of the development program is going to become a series production award?
Omer David Keilaf: So basically, as we said, the SOP is in '27, so we have already started to work on the program towards the SOP. Otherwise, the long lead items that are required are not going to be met. Meanwhile, we are working on the contract and basically the different, I would say, final details. And we hope that we'll be able to converge it as soon as possible.
Mark Trevor Delaney: Okay. And if the development program does become a series production award, do you have any clarity on what that program may look like in terms of annual volumes when fully ramped? And if your LiDAR is going to be standard fit or optional on vehicles?
Omer David Keilaf: Sure. Well, of course, we'll be happy to share more information once we'll be able to announce the customer. It's a very big OEM, having it's a fifth -- one of the top 5 OEMs. Obviously, the volume of this OEM are high. And we are already starting to talk about potentially expanding to use also the short range for other programs. But it's not a single vehicle line. There are several lines. And of course, we'll be happy to share more as we go. But at least the first line, as far as I know, it's a standard. It's a standard fit.
Mark Trevor Delaney: Got it. One more for me, if I could, please, and then I'll pass it along. You spoke about filing for the ATM. Can you help investors better understand how quickly the company plans to use the $75 million ATM that you announced this morning? And any guidance on how much you may look to raise this year?
Omer David Keilaf: Sure. So as you know, the company is already taking several steps to minimize our cash burn and reduce it as much as possible. In today's report, we talked about $7.3 million that away from being even with the quarter. So we'll continue to close this gap with winning more programs, getting more NREs. And we said that we are also expecting growth in the sales of LiDARs. And we intend to look on the ATM opportunistically and with consideration for our liquidity at any given time. The structure of the ATM program really helps us to buffer some of the lumpiness related to NRE payments and timing variabilities. So we'll work with it along the way. And that's -- I think there is a nice fit between the ATM structure, with the NRE payment plan that we have. And again, we are -- as you see, we are working to close the gap as much as possible.
Operator: Our next question from Jash Patwa from JPMorgan. Jash, you're line is open. Okay. We will move on to Kevin Garrigan from Rosenblatt.
Kevin Garrigan: Congrats on the progress. Going off of Mark's question on the statement of development work agreement. Can you just tell us what's different with this agreement if there -- if any, in terms of process or time line. I think the typical process is the RFI and RFQ time lines, then design wins, sign and then development on the platform, but you're already working with OEMs. So can you just tell us what the changes with this agreement are?
Omer David Keilaf: Sure. This is actually beyond the process of the RFI and RFQ that are behind us. Only that the OEM has experienced needs to make modifications to the requirements. And therefore, it's required us to start working on some of the design changes while working with us on concluding the -- some of the contract details. So it's not very different other than the fact that since the RFQ process took longer than the OEM has expected, it's required us to start working on the program meanwhile trying to converge on the contract. We had a similar situation in the past with Volkswagen. If you might recall, we made an announcement about winning a program, pending commercial agreement with a customer. We haven't announced who it is. And later, we announced it's the ID. Buzz. Similar background, similar reasons, sometimes there are some delays in the process, but the OEMs wants to start working on the program because the SOP time line doesn't change. So it's a very similar situation to what we had at the time.
Kevin Garrigan: Got it. Okay. That makes sense. And then just looking at the overall autonomous vehicle market, does the acceleration of robotaxi deployments, does that accelerate time lines or benefit L3 at all? Or are they kind of on two different spectrums?
Omer David Keilaf: I think that it's a good question. I think that right now, the programs -- I don't know if there are -- I see a correlation between the sense of urgency between one and the other. I think the autonomy is a topic that is now picked up again. And carmakers are interested to look on their next platform and autonomy is an important element in it. I think that the split between Level 3 and Level 4 is somehow different. So you have Level 3, which comes from large OEMs, the traditional OEMs. And then you have the Level 4, which are more like based on, I would say, commercial vehicles, trucks, et cetera. This is something that we also experience a pickup right now. We are also competing on programs that are related to trucks that are also targeting to SOP in '27. So in a whole, I think the whole topic of autonomous driving is going through a gold rush once again. It's hard for me to say if the two are -- because every customer is either going on Level 3 or Level 4, so it's hard to connect between the two.
Operator: Our next question from Colin Rusch from Oppenheimer.
Colin William Rusch: Can you talk about your ability to tune the LiDAR for industrial applications? Or do you feel like you're going to end up having to start building multiple SKUs as you see some of the proliferation into some of these incremental end markets?
Omer David Keilaf: Sure. I'm happy to talk about it. So basically, the InnovizSMART is the same LiDAR that we are selling to automotive. If you see the image of the InnovizSMART, you can actually see that it's based on two parts. There is the LiDAR and there is an add-on to the back of the LiDAR that we connect with, which is used as kind of a conversion of some of the interfaces and easier connectivity to some of the applications that are currently used. So it really is the same LiDAR. We're coming off from the same production line and same tester, et cetera. So from that perspective, it's the same. I would also want to add there is something interesting that we are currently seeing in some applications. Look, when you talk about nonautomotive in some of these cases, we're still talking about a moving object, it could be a robot, it could be an AGV. And these require also functional safety. Any vehicle with above a certain mass that moves around people requires a sensor that means functional safety. And there is actually not sufficient, and I'm not familiar with any good LiDAR out there in the automotive -- in the nonautomotive sector that meets functional safety. I mean there are, but they are really, really low 1D or 2D LiDAR sensors. And that's kind of a gap where we see in these markets. Our LiDAR comes from automotive, which means it meets the ISO 26262 and covers an overlaps probably all, if not most, of the other requirements for functional safety in other industries. And this is something that we see as a huge opportunity for us to step in. So today, you see these nonautomotive applications run with experimental sensors for development. But once they need to be operating in areas where you have people, they need to have functional safety used even if it's not automotive application or fraud activity. So this is something that we identified recently with some customers that were looking on our LiDAR. And other than that, what is interesting is that we are currently going into an established market. It's not like 2 years ago where we had to educate many people on what is a LiDAR and what -- why you might want to use the LiDAR. There are many customers already using LiDARs in different applications, and they are much more educated also about the gaps of the LiDARs that they are using today. And for us, it's pretty easy to demonstrate the advantages related to using Innoviz LiDAR with our significantly higher performance, robustness, ruggedness and functional safety. So it's a very -- I would say, it's very exciting to see the reaction of several customers when they see the LiDAR in action. I was participating in a lecture about Homeland Security a few weeks back. I felt that when I demonstrated the LiDAR, people looked at me as if I came from a spaceship, landed from another star, showing them technology, they've never ever really experienced. There are many markets that haven't yet really used LiDARs at this performance and they can disrupt. So it's pretty exciting, and I look forward to see, where our LiDARs are going to be used, and we'll share it with you guys over the time.
Colin William Rusch: That's super helpful. And then with the proliferation of customers and potential customers, we're seeing just so much activity. And I think the gold rush that you mentioned is an apt analogy here. Can you talk about your strategy for selecting customers and where you're putting energy. Obviously, NRE is one indication of a deeper relationship. But can you talk to us around how you're managing your engineering resources to help your customers on a downstream basis.
Omer David Keilaf: Sure. So today, our portfolio is based on InnovizTwo long range and short- to mid-range. And our main focus probably 95% of it is still in the auto space. Since there are RFQs that are converging and we have this customer that we are working towards this kickoff of the program. And also since the fact that we also -- we always see the automotive as the winner takes most kind of market, which eventually would be only limited to maybe two suppliers. So that's still very key for us to be a leader in this activity. And book all of these wins ahead of those launches. Meanwhile, we are using the excess capacity of our production, which we are ramping up now in order to start penetrating nonautomotive customers. The sales cycles in these markets are shorter than automotive. And therefore, we expect that this is the right time for us to start working in this environment. We benefit by working with different integrators that are already deep in the, I would say, the circles that are talking with the different customers and building the application layer. So we are providing them a platform. Many of them are relying on the NVIDIA Jetson environment and the fact that we've integrated the InnovizSMART into the Jetson platform, helps them to do a more seamless integration. So maybe to summarize, 95%, still on automotive, trying to capture our position, be a winner take most in this sector using now the InnovizTwo C-sample, which is beyond the design freeze and ramp-up of volume to penetrate into the nonautomotive market. We continue to develop new technologies. InnovizThree, probably we'll talk about it on our next earnings and we expect to show it end of the year, a very exciting product. It's a new step in our development for cost, for size and for performance. We look on second generations for the different long range and short range. So there's a lot to do yet. But we are in a very -- I would say, in a very interesting time because we see the level of engagement we get from customers when we are showing them our product. So we feel that we're on the right track to be where we are aiming.
Operator: [Operator Instructions] Our next question is from Casey Ryan with WestPark.
Casey Ryan: Very exciting update, terrific news. One thing I'm curious about is you mentioned commercial revenues in the quarter were good. Would you qualitatively say this has been one of your highest commercial revenue contributions. And then it sounds like you're saying it's going to be 10x in Q3. So Q3 might be your highest commercial revenue shipments, splitting that out from NREs.
Omer David Keilaf: So as we said on the call that we are ramping up our production line and the revenues coming from units probably would be, as you said, our peak to date. And this is -- we're only starting, right? So this is -- we see also the maturity in our lines in our headquarters, also coming from Fabrinet. Next year, we are doing an SOP with Volkswagen, middle of the year or Q3. So we need to ship 2 products. It's the long range and short range. Both of them are going to go through production validation at Fabrinet prior to the SOP. Meanwhile, we are working to book new businesses. I think Mobileye -- being on the Mobileye platform obviously contributes, and we are looking to hear about new opportunities that might come in other than the ones that are already booked. And we have the NVIDIA Hyperion platform, which NVIDIA is offering to different customers based on the InnovizTwo long range so far. So yes, I think we talked about the fact that our strategy right now is into our vision is in becoming one of the largest suppliers of LiDARs around the world, and we intend to be there.
Casey Ryan: And so sort of in this vein of commercial revenues, taking the ID. Buzz, as an example, if Uber will be deploying those vehicles, say, Q1 or Q2 of '26, at what point would that -- would VW actually be pulling units from you? How many quarters in advance, I guess, I'm trying to figure out what the timing would look like, if it would be 12 months in advance or 6 months in advance or something like that? Because you guys would be somewhat of a leading indicator, if -- assuming we could see all the information, you would obviously need to send LiDARs to VW before the vehicles could be made and deployed into an Uber network, right?
Omer David Keilaf: Sure. Maybe Eldar, if you want to take this one?
Eldar Cegla: Sure. Of course. Usually, the industry is working just in time methodology. Usually, we should expect to see it a quarter before they deploy their vehicles to the market, so something like that.
Casey Ryan: Okay. So if it's Q1 then late Q3, Q4, something like that for Innoviz, basically?
Omer David Keilaf: The SOP is currently targeted for Q3. And -- but other than that we are expecting to continue to ship units to support the ramp-up and testing, not only to Volkswagen, but also other Mobileye customers such as HOLON. There was also an announcement related to Lyft and partnering with HOLON, which is based on the Mobileye platform, which obviously is also based on our LiDARs. So there is -- it's going to be a mix of LiDARs shipped as samples for testing, data collection, SOPs and for probably additional NREs coming from new programs and existing ones.
Casey Ryan: Well, I mean, this is all very positive, I think. And potentially, we will see the early stages of the sort of robotaxi wave through your results, as you move forward. Very quickly on the nonautomotive opportunities, do you expect any change in sort of pricing and margin profile? Or will those be pretty consistent with your automotive sales if and when those move into commercial developments.
Omer David Keilaf: No, no. The ASPs for nonautomotive are significantly higher and the margins are significantly higher. We are talking about in the order of several thousands compared to the several hundreds. So definitely, the nonautomotive is a very rewarding market for us to operate in. And we work against a benchmark of very expensive other LiDARs. So -- and we provide a better product, so no need to discount.
Casey Ryan: It feels like a very compelling sales pitch. Listen, tremendous progress. It sounds like a very exciting back half of the year is coming.
Omer David Keilaf: Thank you.
Operator: There are no further questions. I'm handing the call over to Omer for closing remarks. Thank you.
Omer David Keilaf: Okay. Thank you very much for attending our Q2 2025 earnings. We look forward to continue to update you with our progress. And thank you very much. Bye-bye.